Nathan Coe: Good morning, everyone and welcome to Auto Trader’s Half Year Results for the 6 months ending the September 30, 2022. Today, I am joined by our CFO, Jamie; and our COO, Catherine, who will join me for Q&A at the end of the presentation. Due to tube strike in London, we’ve reverted back to a virtual presentation, but we hope to see you all in person for our full year results next year. Our performance for the first half of the year demonstrates the strength of our marketplace and the quality of the partnerships we have with customers. While looking forward, the economic environment is uncertain, we are well positioned to navigate the months ahead and to support our customers and car buyers to do the same. I’d like to thank our people, customers, shareholders and wider stakeholders for their continued trust in our business. And importantly, our people have not only delivered strong financial results but have delivered products and solutions that will underpin growth for many years to come. Our partnerships across the business feel stronger than ever and our core marketplace continues to deliver for our customers. There will, no doubt, be challenges ahead. However, the strength of these results during a period where industry-wide audience, stock and transaction volumes were all down on the previous year gives us confidence in navigating the second half of the year. Starting with our strategic overview, the performance of the core Auto Trader marketplace has strengthened over the last 6 months. We’ve achieved double-digit year-on-year growth in revenue and operating profit for the first time since 2016. Our customer numbers and product uptake have exceeded expectations and our competitive position remains strong with no meaningful change in the competitor landscape. In April 2022, we delivered our annual pricing event, including our Auto Trader Connect platform and its first module, Retail Essentials, which gives customers access to our most fundamental and powerful data, including our taxonomy, improving advert quality, pricing decisions and enabling stock to be updated on Auto Trader and across other sales channels in real time. Beyond Retail Essentials, uptake of other products continues to be strong. We’ve seen further growth in our prominence products, including our new high-level advertising packages, market extension and our pay-per-click product, which appears at the top of search listings. We’ve also seen more customers buying into our data products, using real-time pricing, demand and supply data to ensure they’re staying on top of market changes, either using our dealer portal or with our APIs and their own operational systems. Providing consumers with the confidence and ability to complete more of the car buying journey on Auto Trader remains a key focus. We’ve launched a small trial for our deal builder journey on Auto Trader, which combines part exchange, reservations and finance applications to form an end-to-end journey for car buyers. While it is early days, feedback so far from both retailers and car buyers has been encouraging. On the June 22, 2022, we completed the acquisition of Autorama, one of the UK’s largest marketplaces for leasing new vehicles. We believe there is a significant structural opportunity for new car leasing, driven by the growth of electric cars, new manufacturers entering the UK market, lower take-up of company car schemes and the shift towards digital distribution models. Over time, by leveraging Auto Trader’s platform, we can create a compelling proposition for manufacturers, retailers and funders while also reducing customer acquisition costs for Autorama. In the short term, Autorama’s trading has been more challenging due to the acute supply constraints across all new vehicle types. However, we know that in time, this will normalize. Given much of the integration work is currently ongoing, we don’t expect the performance to improve for the remainder of this financial year but with the changes that we’re making with Autorama, we expect an improved performance in FY ‘24 and beyond. Now turning to the group financial results. Following the acquisition of Autorama, we’re now reporting segmented results for Auto Trader and Autorama. The Auto Trader segment is the same view we used to provide in results prior to the acquisition. Group revenue increased by 16%, Auto Trader revenue increased by 11% and Autorama contributed £11.6 million since acquisition. Group operating profit declined by 2%, made up of Auto Trader operating profit growth of 11%, a £4 million operating loss at Autorama and central costs relating to the acquisition of £15.7 million. Group operating profit margin was 60%, with Auto Trader’s operating margin broadly flat at 71%. Basic EPS and cash from operations were both down 3%. Excluding the Autorama deferred consideration charge, group operating profit was up 7% and basic EPS up 8%. During the period, we returned £82.3 million of cash to shareholders through a combination of £51.7 million in dividends and £30.6 million before transaction costs in share buybacks. Today, we are also declaring an interim dividend of 2.8p per share. Now on to our operational results. The average number of cross-platform visits were down by 10% to $67.7 million per month, but remained 18% above pre-pandemic levels recorded in the first half of 2020. Engagement, measured as the volume of cross-platform minutes, was down by 14% but up 11% on pre-pandemic levels again in the first half of 2020. We remain the UK’s largest and most engaged automotive marketplace for new and used cars and continue to account for over 75% of time spent across our main competitor set. The average number of retailer forecourt advertising with us grew 2% to 14,161. And during the period, both new business and cancellations have remained reasonably balanced. Average revenue per retailer per month or ARPR was up by £205 to £2,404, driven by both price and product levers with stock broadly flat. It is important to remember that stock is a much bigger driver of our financial performance than retailer numbers. Average car stock on site increased by 1% for the period, new car stock declined to an average of 22,000 and used car stock increased 5%. Finally, the average number of full-time equivalent employees increased to 1,112 during the period, with Autorama contributing an average of 122 when we prorate their 218 employees. On an underlying basis, Auto Trader employees increased 5% year-on-year. Finally, our cultural KPIs, we are currently working through the equivalent Autorama measures and will include these at the full year. So, all measures below relate only to the Auto Trader segment. In our most recent check-in survey in October 22, 93% of employees said they were proud to work at Auto Trader. We’re also making good progress on creating a diverse and inclusive workplace, which is central to the culture at Auto Trader. Our Board is majority women and has ethnically diverse representation. Within the organization, women represent 40% of our workforce and women in leadership, has increased also to 40%. Ethnically diverse employees represented 15% of the organization. However, only 5% of leadership, highlighting the work we still have to do in this area. We have targets validated by the science-based target initiative for CO2 emissions and have submitted our net zero target for validation. Our greenhouse gas emissions for the first half are estimated at 3,800 tons of carbon-dioxide equivalent across Scopes 1, 2 and 3. We are currently building bottom-up plans to meet our goal of net 0 before 2040 and to half carbon emissions before the end of 2030. I’ll now hand over to Jamie, who will take us through the financials in more detail.
Jamie Warner: Thank you, Nathan, and good morning, everyone. Starting with Auto Trader revenue, which includes the results of Auto Trader, AutoConvert, Carzone and the share of profit from our joint venture, Dealer Auction, total Auto Trader revenue for the first half increased 11% to £238.2 million. Trade revenue also increased by 11%, with the largest components of this being retailer revenue, which also grew by the same 11%. The year-on-year increase was largely a result of customers continuing to see value in advertising on our marketplace and taking additional products. The average number of retailers advertising with us increased to 14,161, which was up 2% compared with the same period last year. Average revenue per retailer increased by 9% year-on-year to £2,404 per month, with more details given on the following slide. Also within trade, we have seen an increase in home trade or pay as you go listings, which increased 16%, alongside small growth in other trade revenue. Consumer services increased by 4%, within this, private revenue, which is largely generated from individual sellers who pay to advertise their vehicles on our marketplace, increased by 12%. There was also a contribution of £0.4 million within this line from our Instant Offer product, which allows consumers to quickly sell their car from home with a guaranteed price. Motoring services decreased 9% in the period, mainly due to a decline in insurance revenue. Revenue from manufacturing agency customers increased marginally to £5.2 million as new car advertising continues to be impacted by supply challenges. Now on to ARPR, live car stock and retailers. As mentioned, ARPR increased by 9% year-on-year, with the average revenue per retailer generated across the period at £2,404 per month. The chart on the left shows the components that contribute to the movement in ARPR compared to the prior year. As you can see, the increase was driven by both the price and product levers with the stock lever broadly flat. We delivered our annual pricing event on the 1st of April 2022, and this contributed the majority of the £72 price lever, equating to an effective increase of just over 3%. Products contributed £133 of growth year-on-year with the breakdown as follows: half of this product growth was a result of retailers purchasing more of our 3 prominence products. These were increasing penetration on our high-yielding enhanced super and ultra packages with 32% of retailer stock on one of these packages above our standard level in September 2022 versus 25% a year before. Our market extension product, allowing retailers to sell outside of their local area, had 6% of retailer stock on the product by the end of the period. And there was some contribution from our PPC product where retailers can boost visibility of their stock in search through pay-per-click campaigns. Beyond Prominence, Auto Trader Connect Retail Essentials module made up much of the remaining growth, which is included in retailer packages as part of our annual pricing event in April 2022. There was also some small contribution from growth in our data products and AutoConvert. Looking now at stock, the chart on the right shows the profile of live physical car stock, which increased 1% in the period. As usual, we stripped out the impact of new cars and provide underlying used car livestock, the darker of the two lines. It’s important to note that the stock lever is not driven by live stock but by the number of paid stock units. Underlying used car live stock increased by 5% in the period. About one-third of this increase was due to increased private listings, meaning underlying trade listings increased just over 3% as we saw supply improve slightly versus the previous year. This increase, though, has led to a reduction in underutilized paid units, a trend that was unique to the market volatility created by COVID-19 and, meaning the stock lever was flat for the period. Total Auto Trader costs increased by 8% to £70.5 million. People costs increased by 5% to £36.9 million. The increase in people costs was primarily driven by an increase in the average number of full-time equivalent employees. This also increased by 5% to 990 as we continue to invest in people to support the growth of the business. Marketing spend for the period increased by 8% to $11.4 million which was equal to 4.8% of revenue, consistent with previous years. Other costs, which include data services property-related costs and other overheads, increased by 17%. The increase was primarily due to increased overhead costs, including the return of travel, office and people-related costs and higher IT spend as we completed the transition of all our services and applications to the cloud. Depreciation and amortization decreased marginally to $3.3 million. Capital expenditure in the period was $1.1 million, which is a decrease against the prior period, largely due to investments in our Manchester office in H1 2022. As a reminder, our low levels of CapEx and depreciation are not a reflection of low levels of investment in our business. In addition to our investment in cloud-based services, we have over 350 people in product and technology who are continuously improving our platforms and developing new products for consumers and retailers, the costs for which are taken in full through our income statement in people costs. With revenue up 11% costs increasing 8% and a £1.1 million contribution from our share of Dealer Auction’s profit, operating profit was $168.8 million. This was an increase of 11% on the prior year, and our operating profit margin was broadly flat at 71%. Now on to Autorama’s results. Autorama revenue was £11.6 million, with vehicle and accessory sales contributing £7.1 million and commission and ancillary revenue contributing £4.5 million. Vehicle and accessory sales, is the gross revenue for vehicles that pass through the balance sheet. Our primary focus over time is growing commission and ancillary revenues. Total deliveries were 2,747, which was made out of circa 1,900 cars, 600 vans and 200 pickups. Whilst these units were lower than anticipated, it is worth noting that vans and pickups have been particularly challenged, reflecting weak transaction volumes caused by lack of supply. Average commission and ancillary revenue per unit delivered was £1,635, which was lower than previously reported due to a significantly higher mix of cars. The Autorama business delivered 270 vehicles, which were taken on to balance sheet in the period from June 22 to 30 September. This represented 10% of total vehicles delivered. The cost of these vehicles is taken through cost of goods sold with the corresponding revenue in vehicle and accessory sales. People costs of £3.7 million, was through the 218 FTEs, which were employed on average through the period. Marketing costs were £1.7 million, which was spent on a combination of brand and performance channels. Other costs of £2.5 million related to IT services, property, people-related costs and other overheads. There was depreciation of fixed assets and some amortization of developed software totaling £0.7 million. The operating loss for the pit since acquisition on the June 22 to the end of September was £4 million. With total group revenue up 16%, group costs increasing 56%, which includes the £13.8 million of Autorama’s first consideration and a £1.1 million contribution from our share of dealer auctions profit, total group operating profit was £149.1 million. This was a decrease of 2% on the prior year, and group operating profit margin was 60%. Cash generated from operations decreased 3% to £164.6 million. The year-on-year decrease in cash generated from operations was bigger than operating profit, mainly due to a negative movement in working capital in part due to a lower VAT liability at the period end and an increase in debtors given higher revenues. The statutory income statement outlines areas beyond our revenue and operating costs. Net finance costs reduced by 35% to $1.1 million due to lower amortized debt issue costs. Our profit before tax was £148 million, and our effective tax rate was higher than the standard UK rate of 19% due to the Autorama’s deferred consideration charge being nondeductible. Basic EPS decreased by 3% due to the decrease in profit after tax. Earnings per share, excluding Autorama’s deferred consideration, increased by 8% to 13.7p. As Nathan said earlier, the directors are recommending an interim dividend of 2.8p per share. Moving now to net bank debt and capital structure. In the period, the group has drawn on its revolving credit facility to fund part of the initial consideration relating to the Autorama acquisition and are now in a net debt position of $57.4 million at the end of the period. The group had drawn $75 million of its $250 million unsecured revolving credit facility and had cash balances of £17.6 million. Cash generated from operations of £164.6 million, we’ve used to pay £1.1 million of CapEx and lease payments of £1.6 million. In cash terms, we paid £1.6 million of interest and £31.4 million of corporation tax. There was a $3.9 million loan facility held by Autorama, which was paid off on completion of the acquisition. Net cash outflow on acquisitions of $152.3 million was made up of £150 million consideration paid for Autorama, less cash acquired of £58.8 million and a final £8.1 million deferred consideration payment relating to the acquisition of AutoConvert. Of the remaining free cash flow, £51.7 million was paid in dividends and £30.8 million inclusive of fees was used to buy back shares at an average price of 619.5p. In total, we have returned £82.3 million to shareholders in the year. The group’s long-term capital allocation policy remains broadly unchanged, continuing to invest in the business, enabling it to grow, while returning around one-third of net income to shareholders in the form of dividends. Following these activities, any surplus cash, such as that received from the disposal of Webzone will be used to continue our share buyback program and steadily reduce growth indebtedness. It is the Board’s long-term intention that the group will return to a net cash position. Before closing the financial section, I wanted to make everyone aware of two page balance sheet events. The first was the sale of one of our subsidiaries, Webzone Limited, operating under the Carzone brand in Ireland, which was sold for €30 million in October and will create a profit on disposal of circa £19 million, which appears below operating profit. The second event involves the defined benefit pension scheme, which the company sponsors. Also in October, we purchased a bulk annuity effectively reducing the risk and exposure of the scheme. Whilst there is circa £2 million to £3 million of costs likely to be incurred in the financial year for this exercise, which is accounted for in the outlook statement, it yields longer-term savings in overheads and reduces risk for the change in asset values or increased liabilities could have left the scheme underfunded. That concludes the financials. I’ll now pass over to Catherine to take you through our market and product update.
Catherine Faiers: Thank you, Jamie, and good morning, everyone. Moving on to Slide 15, demand for both new and used cars remains robust, but we continue to see supply shortages impacting new cars and segments of the used car market. New car registrations in the 6 months to September 2022 were circa 800,000, 11% below the first half of last year, with semiconductor shortages and supply chain challenges, continuing to impact the volume of new cars available for sale in the UK. New car registrations were weaker in the fleet segment, down 17% year-on-year and light commercial vehicle registrations were down 28% year-on-year over the same period. These constraints have also impacted used cars. Used car transactions were 16% below prior year levels in our first half as the knock-on impact of low volumes of new car supply in 2020 and 2021 impacted used volumes. This reduced availability of younger cars have particularly impacted our franchise customer segment. Inflation is driving a rise in the cost of living for UK consumers and has the potential to impact the demand for vehicles in the short term, although we are seeing only a relatively small impact on our marketplace. As we did last financial year, we have included transactions data from financial years 2006 to highlight the relatively low levels of cyclicality, particularly in used cars through the economic cycle. For many consumers, purchasing a car is considered a necessity and not a discretionary purchase. Buyers might trade down on the price of the car or reduce usage, but typically do not forgo the transaction itself. Auto Trader’s financial history is hard to analyze as the last UK recession coincided with our shift from print to digital. That said, it is our belief that our market position, the quality and scale of consumer engagement on our platform, the partnership we have with our customers and our commercial model all means we are well placed to weather challenging times. We continue to publish a monthly price index of cars advertised by retailers on Auto Trader, the results of which are shown in this chart. Our live retail data on market pricing has been adopted by the Office for National Statistics to power the UK consumer price index. This reflects the scale and accuracy of our data and is an important step towards our goal to be the data currency that powers the industry. The dark blue line on the chart shows the average price of the vehicle advertised since 2014, which you can see has grown over time and accelerated over the past 2 years in particular. Despite some softening in the year-on-year growth rate over the last 6 months, prices remain materially above where they would have been in normal market conditions. As continued robust levels of demand combined with constrained supply is supporting price stability. We see a more stable pricing backdrop as month-to-month movements in pricing levels are either in line with or ahead of historical averages. For example, the movement in prices from August into September was up by 0.2%, against an average movement of minus 0.7% over the 8-year period prior to pandemic. By grouping cars by type, age and fuel type in chart we have isolated the impact of underlying like-for-like price increases. As you can see in the last 18 months, we have seen like-for-like price increases above 20% in comparison to the prior year. Although as we have lapped strong comparative period, the growth rate towards the end of the half are slowing. This is a trend we expect to continue over the second half of the year as the market returns to a more normal pricing environment. As shown in the first chart, the UK car parc remained broadly flat through calendar year 2021 at 35.1 million cars with new car transactions and scrappage rates remaining fairly consistent. The second chart shows how consistently the car parc has turned over the past 16 years. Over this period, on average, each car is transacting between 3.1 and 3.5 years, except in 2020 were due to the impact of enforced COVID-related showroom closures and the reduced levels of activity, frequency increased to 4.2 years. As we recovered from the pandemic in 2021, levels of activity increased, although the transaction rate remains above pre-COVID levels due to supply issues, resulting in frequency decreasing to 3.8 years. The total number of car transactions each year is shown in the third chart. In calendar year 2021, 35.1 million cars turned on average every 3.8 years and resulted in 9.1 million total transactions, of which 1.6 million were new car sales and 7.5 million we used, an increase of 10% compared to 2020. Over the 6 months, our audience position has remained strong in comparison to pre-COVID levels. Starting in the top left, this year, we have changed the source data from Google Analytics to Snowplow, a market-leading analytics tool and a key component of our data platform strategy. Prior periods have been restated for both visits and minutes to aid comparison. Cross-platform visits decreased by 10% to £67.7 million per month but were 18% above the pre-pandemic levels recorded in H1 2020. Engagement, which we measure as the total number of minutes spent on our platform, decreased by 14% to an average of 498 million minutes, although again, remains strong against pre-pandemic levels, up 11% in H1 2020. We have maintained our position as the UK’s largest and most engaged automotive marketplace for new and used cars with our share of total minutes amongst our main competitor set as measured by Comscore, remaining strong at over 75%. The chart on the right shows the total minutes spent across an expanded best competitors retailers and manufacturers. It shows that we continue to have a significant lead in terms of both volume and engagement against both our closest competitor and all other marketplace participants. Our traditional competitors have not changed significantly over the past 6 months, and we have not seen new entrants nor players exiting the market. We continue to be significantly larger than those retailers who are large enough to appear in Comscore and all manufacturer websites combined. Now on to our product update. We continue to make good progress against our three strategic priorities. Our classified marketplace is at the center of our strategy. Our marketplace is still very much the core of our business and has lots of opportunities for growth. The platform layer is where we’ve taken the technology and data platforms that power Auto Trader and made these services available to retailers and other partners, helping them to save cost, time and improve yields. Integration work with the technology partners is well progressed for the Auto Trader Connect, Retail Essentials module and is underway for valuation. Embedding our technology and data creates deeper relationships with our customers, improves the performance of our advertising products and act as a significant enabler for digital retailing. Our goal with digital retailing, the outer ring of our strategy, is to enable any retailer to sell their cars online on our marketplace to support and strengthen retailer’s existing forecourt experience. It is not about Auto Trader reselling cars directly. We are bringing technology and automation to a process that today is driven by sales executives, manual task, support people and limited technology. From a new car perspective, we have acquired Autorama to accelerate our move to reselling new cars online on behalf of leasing companies, manufacturers and retailers, all on Auto Trader. We continue to invest in our electric vehicle offering on and off-site to ensure that we are the number one destination for car buyers interested in purchasing an EV and therefore, remain number one as EVs account for more and more of the car parc over time. Last year, we created an electric car hub focused on helping car buyers understand the benefits of switching to EV. This included advice on ownership and cost comparisons. Our monthly electric car giveaway continues to drive engagement and has had 1.4 million entries across the half year period. We have enhanced the information around electric vehicle charging on Auto Trader, which is included in the electric car hub in search filters and on each vehicle product page. Charging information on EVs is complex with each OEM presenting the data differently. We have simplified and standardized this across makes and models, allowing consumers to easily compare. This is part of our broader strategy to provide accessible buying and owning advice and to offer a simple buying experience by featuring range and charging times within our core search function. This is a role that Auto Trader can uniquely play and combined with having more EV stock than any other destination means we are well placed to continue to grow support and to benefit from the shift towards EVs. The next module of Auto Trader Connect, Auto Trader Connect valuations have been launched and will be available to all of our retailers as part of the April 2023 event next year. Some retailers already have early access where their technology partners, such as stock management and retailer website providers, have integrated the solution into their platforms also using our own dealer portal, where we have surfaced this data. Since the launch of the first phase of Auto Trader Connect Retail Essentials in November 2021, more than 90 partners have integrated the services into their platform. This new valuations module will embed the industry’s most accurate pricing data into retailers’ existing processes and systems, enabling them to buy and price their stock with confidence, maximizing the profit potential of every sale. It is designed to inform retailer sourcing and pricing strategies with the most accurate and current view of the market. Our valuations are calculated some daily pricing analysis of over 1 million vehicles, which includes the roughly 440,000 listings on our marketplace as well as retailer OEM fleet and auction data. It is the most comprehensive and accurate view of the live retail market, which when combined with Auto Trader Connect’s real-time capability, means retailers can immediately respond to changes in the market, helping to drive more profitable sales and to improve stock turn. We believe this is one of the most powerful ways we can help our partners given the pace of change in the market. In August 2022, we launched a small trial of our Deal Builder journey on Auto Trader. This combines the component parts of part exchange, reservations and finance applications, forming an end-to-end deal journey. Deal Builder addresses key pain points that both car buyers and retailers experience. Car buyers want to do more online, which Deal Builder enables, giving the buyer the control to do as much or as little online as they choose and to switch to human support as and when they need it. For retailers, it means more qualified buyers, many with a part exchange price agreed or a finance application already approved, all resulting in a much quicker sales process. This is an important shift moving Auto Trader from a marketing channel to a sales channel, which we think over time will be transformative to our business. Over the coming months and into the next year, we plan to onboard more retailers onto this early beta trial, including larger groups to use our retailer portal system. Over time, we will also integrate with retailers directly through their dealer management systems using the Auto Trader Connect platform. Initial feedback has been positive, and we continue to see more deals processed through the Deal Builder journey. We are working closely with the early retailers on the beta to optimize the journey and to understand and improve conversion. I’ll now hand over to Nathan to take you through our second half focus areas and the outlook.
Nathan Coe: Thanks, Catherine. In the second half of the year, we will continue to prioritize our strategic focus areas. Within our classified marketplace, we’re investing in insight tools for our customer-facing teams to support retailers in these less certain times with their performance and choice of stock made possible by many years of work and investment to develop our data platform and data lake. We can very quickly identify where customers are underperforming relative to their competitors and provide specific areas of improvement across advert quality, pricing and desirability. There is also further growth potential in our Prominence products. And while some customers may become more price sensitive in a tougher market, others will see it as a way to boost their performance. We will embed our next Auto Trader Connect module valuations ahead of the April 2023 event next year. A number of retailers already have early access through their technology partners and are seeing the benefits of being able to make faster and more accurate pricing and sourcing decisions, helping to drive more profitable sales, improve stock turn and reduce risk. On digital retailing, as Catherine said, Deal Builder went live with one single site customer in August, resulting in our first completed online deal within days. Over the coming months, and into next year, we will onboard more retailers, including larger groups who use dealer portal or integrate with us via our APIs. As stated earlier, we are also working through the integration of the Autorama Buy Online journey into Auto Trader’s search listings. Now on to the outlook. We recognize the current high levels of economic uncertainty, but have confidence for the second half of the year because we’ve seen stable and consistent trading throughout October. Our revenue is generally recurring and most of our growth initiatives for the year have been implemented. We have also already seen some impact from the changing economic environment, such as lower audience, lower livestock volumes and weak used car transactions across the industry, but have nonetheless performed well. And we feel confident that we can maintain Auto Trader’s margins at 70% despite high inflation, particularly given we have already built the core components of our digital retailing journey. As per our previous outlook statement, we still anticipate average retailer forecourts to be marginally down year-on-year. However, we now expect stronger ARPR with the full year growth rate likely to be slightly above the first half, and we expect the stock lever to be flat for the full year. Auto Trader’s operating profit margin for the full year is expected to be in line with financial year 2022. All this outlook takes account of the web zone disposal covered in post-balance sheet events. Autorama is likely to make a loss of £11 million for the year with continued supply challenges across all vehicle types, resulting in lower delivery volumes. Group central costs will be around £45 million, largely made up of the Autorama deferred consideration and some amortization in relation to the acquisition. The outlook for future years is inherently less certain. However, the used car market is less cyclical than the new car market and new car registrations are expected to recover in most scenarios, given they are at their lowest level in nearly 30 years. We continue to believe that there are significant opportunities for Auto Trader to grow revenue at high margins through our price and product levers. And we will continue to bring more of the car buying journey online through Deal Builder and Autorama. As ever, and especially in a weaker economic environment, we will continue to be disciplined on priorities, costs and capital allocation, ensuring we manage the business responsibly. That now concludes the presentation. We will now move to Q&A with analysts. As I do say in most results presentation, if I can just ask everyone to try and keep their questions to two to make sure we do get around everyone. If your question isn’t answered, by the end, you can always rejoin the queue. Operator, over to you for Q&A.
Operator: Thank you. [Operator Instructions] We are now going to proceed with our first question and the questions come from the line of Giles Thorne from Jefferies. Please ask your question.
Giles Thorne: My first question is on the stock lever plans. There is evidence out there of sales lead times going up to dealers and the latest data for new car registrations in the UK for the past couple of months for both the UK and actually across Europe is for growth in new car registrations year-on-year. So the supply constraints in used cars on the face of it could be easing. It may be more of next year feature and FY ‘24 features than in FY ‘23, but wouldn’t to be interesting to test any upside risk to that flat stock ARPR guidance. And then my second question is on digital retailing. It’s a bit of a medium-term question. The guide down for Autorama today is another reminder that your earnings profile is going to be more linked to the transaction cycle than it’s ever been to date. And this will only increase as Deal Builder ramps. So it’d be interesting to know in addition to the changes in reporting that you’ve already signaled at the Capital Markets Day, could you share some early thoughts on how this could impact your – the way you guide and perhaps most importantly, the way you allocate capital, if at all? Thanks.
Jamie Warner: Yes. So why don’t I take the stock lever question. So we delivered a flat stock lever in the first half. We’re guiding flat for the full year. I think whilst the live stock volumes are improving and the year-on-year growth rates have been pretty good through the second quarter and in October, it’s worth just highlighting that some of that year-on-year growth in private listings being particularly strong. So you can strip that out because it’s a filter on the website. So there is probably 5% growth that we’ve seen through sort of trade used car listings. I think – as I mentioned in the first half, there is been some sort of underutilization of slots diminishing through the period. And I think whilst most of that is now done, I think you’ve got a tougher comp in the second half. So those increasing used car volumes sort of keep you in line with prior year. And I think generally, even right at this point in time, particularly from a large customer, if you’re stocking younger vehicles, we’re not seeing supply particularly ease. So where that sort of livestock improvement has come is in slightly older vehicles or certainly over sort of 4, 5 years, I would say. So I think if you saw stock volumes significantly improve throughout the second half, there is potentially some upside. I agree if you get a sort of slowing market, you could see higher volumes being held. I think from our perspective, we’re viewing it more into, as you said, more into FY ‘24 than expecting it to have a meaningful impact in the second half.
Nathan Coe: And I’ll take your second question, Giles. In terms of the reporting, I mean, I think it was reasonably clearly laid out in the Investor Day. And I think the question you’re really poking at was one around business quality and quality of earnings, which is understandable. I think the way that we think about this is probably three things, I would say. The first is that any transactional revenue we generate certainly from used cars and also new as well, is going to be a relatively small part of Auto Trader’s financial story for some time to come, which is why we’re making sure we’re very clear to – that people can look through and see the business – the Auto Trader business that they always knew. When it comes to the transactional revenues, I would say that the way that we’re thinking about the business model at the moment, and we’re yet to monetize it, is that we will have an element of subscription and an element of transaction about it. So we can still balance how much of that will be annuity-like, subscription-like revenue versus being exposed to transactions. Then for the transactional element, and this is really the third point I’d make, I think there is two considerations. The first is that our focus and the bigger number, the bigger number of transactions is used cars and used cars is less cyclical – far less cyclical than new cars and probably less cyclical than many other elements of the economy. The second thing I would say is that we’re starting from a very small percentage. So at the moment, retailers will talk about maybe 2%, 3%, 4%, 5% of transactions happening online. We wouldn’t be surprised to see something like that and expect it to grow very, very gradually over many, many years. So it’s almost like a market gain which should buck any cyclical elements. If we get to the point where 100% of transactions are on Auto Trader – 100% of transactions are taking place online on Auto Trader, then yes, you’ll be exposed a bit more to cyclicality. But by that time, I think based on what we set out in the investor – in the Investor Day would be twice as big a business from them. So it’s not necessarily a big problem.
Giles Thorne: Thanks, Nathan. That was useful color. It wasn’t actually so much quality of earnings that I was trying to get at. It was more you were thinking about capital allocation, the leverage you carry, the share remuneration profile, balance growth investment. Again, it’s not something that’s going to impact anything tomorrow, as you’ve just said. But is there any insight into you how those things will change as you become more exposed to the cycle?
Nathan Coe: Okay. I think – I mean, maybe we can all pitch on this. I’d say my headline is the approach that we’re taking is explicit capital and asset light and also reasonably operationally cost light as well. So for that reason, we’re very much taking the same approach that we’ve taken to Auto Trader for many years, we’re applying that in a transactional world. So for that reason, I wouldn’t see it dramatically changing our capital allocation approach policy or where we invest internal capital either. Over time, obviously, that might change to some degree, but we certainly don’t see ourselves ever becoming a retailer, which would be the most extreme answer to your question. We’re definitely at the other end of the spectrum where we’re looking to facilitate others that are using their own capital as opposed to using ours. Jamie, did you...
Jamie Warner: Yes. And I think we’ve made some investments, both internal kind of organic investment in the platform and inorganic investment in terms of Autorama. There is plenty there for us to be getting stuck into and focused on and prioritizing. So I think the capital policy, certainly over the next 18 months, if not going beyond that, you’d expect that there is less likely to be more of that, certainly inorganic investment, I think. And so I’d expect higher volume of share buybacks in the second half than what we’ve done in the first half.
Giles Thorne: Okay, thank you very much, and thanks for the color.
Nathan Coe: Thanks, Giles.
Operator: We are now going to proceed with our next question. The questions come from the line of Joe Barnet-Lamb from Credit Suisse. Please ask your question.
Joe Barnet-Lamb: Thanks for taking my questions, guys. So my first question. I was going to ask sort of a flip of Giles’ stock question, if you like. In answer to his question, Jamie, you alluded to easing supply and an elongated listing duration as potentially providing upside pressure on stock. I guess a counter argument could be that the cost of holding cars will rise due to sort of raising rates and also potential risk to used car pricing. I’m interested in your views on that thesis and whether retailers could potentially run tighter forecourts due to that cost of holding stock rising. That’s question one. Then for the second question, you spoke about the embedding of Auto Trader Connect in the bundle. How material an event is that? Can you quantify what the sort of ARPR tailwind is through the product lever due to that? Thank you.
Catherine Faiers: I’ll take the first one. Hi, Joe, so in terms of in terms of what we’re seeing today, we’re seeing data sell overall in the marketplace, still trending ahead of pre-pandemic levels. So we haven’t seen any slowdown yet in the pace at which cars are turning or any extra risk exposure from retailers from cars being on the balance sheet for longer, and therefore, stocking loans and other things kicking in to a greater extent. And there is – clearly, there is ups and downs for our stock lever in terms of how the market trends play out in the next few months. I think in response to the new car supply question earlier, we are expecting gradual and incremental return of new car supply, but we’re still overall operating in a supply-constrained environment, which means that pricing continues to be robust and pretty stable. So at the moment, I think our best guess for the second half of this year would be that supply continues to be reasonably constrained. Days to sell remains pretty strong and in line with the level that it’s currently at. We might see some slowing as we enter the Christmas period, but that’s normally a seasonal low anyway. So we’re not expecting a significant uplift from a longer holding period playing through into the stock lever in the short-term. I think as we go into next year, that might become more of a risk factor from retailers, potentially an upside for our stock lever but we will continue to track the data closely and we will be on top of any movements that we see playing out.
Nathan Coe: I was just going to add one thing to add to Catherine’s last point. I think I alluded to this when we’re talking to the slides. But in the event, I think it’s quite unlikely that stock becomes more expensive to hold, for example, because stocking lines getting more expensive, therefore, retailers hold less stock. That might be true. But that stock will still be presented for sale in a wholesale market. So it tends to be price. This is – I think Catherine’s point around the rest of dealers, it tends to be priced at equalize as opposed to stock, which is why it can potentially be what we will be more linked to the stock presented for sale than we will necessarily the retailers that kind of have that stock because it will find its way out into the market. Jamie, did you want to take...
Jamie Warner: Yes. So the product lever and Auto Trader Connect, it’s worth just reemphasizing something that we said or that we covered in reasonable detail at the Investor Day that Auto Trader Connect is effectively a platform that we have integrated with a number of customers, a number of third-party providers, DMS providers. There is still further integration work ongoing, but we’re integrated with over 90 third parties. And then what we’re doing with that platform is we are rolling out modules that benefit our retailer customers. And so we rolled out and included in the package, the Retail Essentials module, which was – gave access to a number of things, but in particular, the taxonomy that powers Auto Trader. And that has contributed to the product lever in this first half and will contribute to the product lever for the full year. It was just under half, not far £50 contribution in these reported numbers. Catherine then touched on the next module that we’ve launched to certain customers or those that have that integration, which is around valuations, so effectively being able to absorb our valuation into existing systems and leveraging the power of our real-time pricing data. That’s going to be included in the packages from next year. I think in terms of the contribution, part of the early rollout is to really get a sense of how it’s used, the value that it has, the feedback that we get from customers. So the actual contribution is still to be determined. And I think we will be able to obviously give a better steer when we report our results in June. I think the really important point though, again, reiterated in the Investor Day, is we’ve created this platform, we’ve monetized the module. We’ve launched another module. And I think over time, particularly with regards to digital retailing, I would expect further modules in the future.
Joe Barnet-Lamb: Excellent. Thank you very much team.
Nathan Coe: Thanks, Joe.
Operator: We’re now going to proceed with our next question. The questions come from the line of Will Packer from Exane BNP Paribas. Please ask your question.
Will Packer: Hi, Nathan. Hi, Jamie. Hi, Catherine. Thanks for taking my questions. Two, please. Firstly, as we head into calendar year 2023, macro uncertainty and cyclical risks are in focus. And I wondered if you could just give us your initial thoughts on two or three thematics, which are a big focus for investors right now. We have questions over used car volumes over the normalization of car dealer GPUs and the normalization of your forecourt number, which has been elevated during COVID. So just some initial views on the risk associated to those three factors to your business. And then the second question was around Autorama. It’s quite a change in expectation so soon after the deal. Could you just help us understand a bit more detail what’s changed? Is it simply that the new car market has deteriorated? My understanding was you were pretty cautious on your assumptions there already, so some color there would be helpful. And I suppose a follow-on from that. Is it still sensible to think of Autorama breaking even in fiscal year ‘25. Thanks.
Nathan Coe: Thanks Will. Market?
Catherine Faiers: Yes. So Will, used car volumes, I think, was the first part of the question and what macro or wider thematic trends we might see, how it plays out the used car volumes, GPU to retailers and then forecourts. The three are all clearly connected in some way – in some meaningful way. So I think starting with used car volumes. So we’ve seen a new car market now that’s been about 700,000 transactions smaller every year for the last few years. We’re expecting a slightly better new car market next year, potentially somewhere between 1.7 million and 1.9 million transactions. And we’re hopeful towards the second half of that – of next year that some of that volume will begin to flow through into the used car market. You will have seen from the latest SMMT data that all the growth in used car transactions, where there is growth, is coming from older age cohorts of cars, not just 5 years and out, but actually in the 10 to 15-year category and some of the very old vehicles that we see in the car parc. That is clearly driving retailers to change stock mix quite significantly in some cases that we are seeing franchise customers holding cars that are typically a year older and looking to extend their retailing presence into spaces that would typically see occupied by independent retailers. Volumes, I think used car volumes into next year, more of the same as what we’ve seen this year. A market, hopefully, somewhere a bit closer to £7 million rather than the level I think, at which will end this year, in terms of what that – how that plays through into retailer profitability. We take the franchise segment first. There is a number of positive factors still actually playing out for our biggest franchise customers. Firstly, we have got the fact that actually, for most of them, new car order books are really strong, and they have still got, in some cases, five months, six months, seven months of new car orders to deliver on that have been locked in at pricing and margin positions that are strong and attractive for them. We have also – the pricing backdrop is also a real positive for those customers in that whilst they are buying into older age profile of vehicles, actually, the pricing for that stock, risk profile of that stock, is not as significant as it would have been a few years ago where we were seeing greater depreciation levels on those cars. We have got a pricing backdrop that’s positive on both new and used and the new car market that still looks like it will be supply constrained into next year. Margins also at the moment are still trending about double what we would typically see for those larger groups in particular and still for our smaller independent customers, gross profit per unit looks robust. Combination of energy prices, real wage and minimum wage increases and the increase in cost of funding, stock on the balance sheet is undoubtedly going to weigh increasingly, I think during next year. That said, retailers are entering a period that feels like it’s going to be a bit tougher in a very, very strong position with stronger balance sheet position, stronger – still stronger profit on the vehicle at the moment. So, actually, they feel better set up than they have ever been to cope with some of those cost pressures that we think will inevitably play out to some extent during next year. Finally then, in terms of forecourt numbers, say forecourt numbers are positive, continue to remain positive in this half. I think most of our guidance in the second half was actually driven by the Webzone disposal, where it was sold over 500 – well, the contribution was over 500 forecourts and for the half year effect to be about half of that in the second half. I think overall, in terms of forecourt numbers, we are still seeing what we would consider to be relatively normal levels of churn and new business. So, forecourt levels feel robust for the second half of this year, but potentially with some of those cost pressures, some risk into next year, and we would probably expect that number to trend down slightly, I think in the call.
Jamie Warner: Yes. Just to add on that retailer forecourt points. There is about 225 dealers, it’s a headwind for fiscal year ‘23 because of the Webzone disposal. And then obviously, you get a subsequent drop in fiscal year ‘24. So, there is a little bit within the guidance, I think for some lessening of volume of forecourts, but not significant. And I think the really important point that Catherine made in the presentation is stock feels like a bigger driver of revenue than that volume of forecourts. I think then in terms of Autorama, I am happy to take that one. So, I think you are absolutely right. The expectations are less good for fiscal year ‘23 than we had originally thought. I think the biggest driver is a weak market from a transaction perspective, but particularly in vans and pickups, which are the higher-yielding units. Supply there is weaker than it is on new cars and that’s flowed through to volumes. I think the way we thought about the guidance for the full year is it has been slightly disappointing the three months, just over three months have consolidated in. The business is operating in a standalone capacity at the moment and is likely to be for the balance of the year. We are not sure on the market. So, let’s just guide for more of the same for the balance of fiscal year ‘23. That just feels like the right approach even that could be marginally cautious. I think the work that we are doing that Nathan referenced is we are working to integrate the journey on to Auto Trader. That work is likely to be completed at the beginning of fiscal year ‘24. And I think this is the strategic rationale behind making the acquisition that it’s a good platform that when integrated into an area where you have significant volume of car buyers can drive a significant volume of sales. And so I think the FY ‘25 to the crux of your question, we still feel very confident that breakeven is achievable.
Will Packer: Many thanks for the color. Appreciate it.
Nathan Coe: Thanks.
Operator: We are now going to proceed with our next question. The questions come from the line of Sarah Simon from Berenberg. Please ask your question.
Sarah Simon: Yes. Good morning. I have got a couple. The first one was, you talked about the uplift of penetration on the high-yielding packages. Where do you think that can go to in the medium-term? And do you think that the uplift is because car dealers need more help to shift stock in a potentially tightening environment, or do you think it’s just retailers becoming more sophisticated? And the second one was just on cost inflation. We heard from ITV yesterday that there is significant cost inflation going into 2023. Do you have any view as to what that might look like for you in, I guess sort of fiscal 2024 because you are slightly off cycle? Thanks.
Nathan Coe: And I can take the first one. On the penetration of the prominence products, this is in the first iteration of this. We generally kind of cycle the core auto trade advertising packages every 3 years to 4 years even 5 years, depending on that penetration uptake. I would say historically, we have seen our high-level packages get well and truly over 50% penetration. So, I think there is definitely some runway to go. Now, it’s always different depending on the nature of the product and how the dynamics work as you add more customers to it. But I think the packages that we have got today are quite scalable. And we are seeing customers. We are very accurately able to predict the sort of uplift they would get and then they can kind of square that off with the cost that they were to have to do it. I think at the moment, I would say if you rewound a year, we would say that actually retailers are being – making hay while the sun shines is probably the best way to describe it. They saw a good market. They saw very good gross margins on cars, so they tried to sell as many as they possibly could. And those prominence products that you do that, they could shave easily five days, six days off your days to turn. I think that has become kind of less and less, I think as the markets got back to more and more normalization. Now, we are still seeing those packages grow, and we would still expect to see them grow because it’s an economic – it’s a very economically rational choice for a retailer to make. If you look at paying, whether it’s £100, £200 extra, if it means you can sell another car, then you can recoup that 5x over with one sale. Depending on what happens over the next 12 months, which we are not claiming to be smart enough to do, imagine there will be some retailers that might pick up those prominence products to combat a tougher market. But as we said in our comments, there will be some retailers that just as they have been making hay while the sun shines, they will batten down the hatches as things get more difficult. So, where that ends up net, I mean it might still end up as being the same. It’s hard to know, but there will definitely be those – there will be two types of customers taking two very different approaches to those. Jamie, do you want to speak to inflation?
Jamie Warner: Yes. So, I think – so, I mean it’s easier to talk about the Auto Trader segment. I mean that’s where the majority of the cost base is. I mean we are guiding for the full year fiscal ‘23 for 70% margin. And I think we feel with relative confidence that we can achieve 70% margins in fiscal year ‘24 as well, which is broadly the cost base growing at a similar rate to revenue. There are inflationary pressures in there and there is investment in the business. But I think we manage our costs at an incredibly detailed level in the way that we have been trying to run the business for a long time is real scrutiny of the things that you are not getting as much use out of, whether you can bring services internally. You see sort of it in the kind of post balance sheet events that we have announced in terms of the Webzone sale, removing the risk around our defined benefit pension scheme. All of these things are – the cost in this financial year, but it’s actually creating efficiency and savings going forward. So, I think we continue to run the business that way. And with as much confidence as can be given, acknowledging the uncertainty, we think that margin guidance will hold certainly over this year and into next.
Sarah Simon: Great. Thanks a lot.
Nathan Coe: Thanks a lot.
Operator: We are now going to proceed with the next question. And the questions come from the line of Bridie Barrett from Stifel. Please ask your question.
Bridie Barrett: Thank you. And two questions for me, slightly related, if you don’t mind. Just kind of coming back to your market share, I mean you give us data on your share of consumer engagement, which has been stable. But putting the data together, it’s clear that you have gained quite a lot of market share in first – in this period with used car sales down double digit, but things up 3%. I am just wondering if you can help me understand what is your market share in terms of transactions that you are associated with, or put another way, your listing volumes relative to actual used car transactions?
Catherine Faiers: Was that part one, sorry. Was that both?
Bridie Barrett: That’s part one, yes. And depending on your answer, my second my part…
Nathan Coe: I will fire away with your second question, and then we will get to answering the first. What was your second question?
Bridie Barrett: And the second question is just with respect to promotions. I know in the past, pre-pandemic promotional activity was much higher than it has been over the last 12 months. So, can you also just give us a sense of how much of your activity is related to promotions and what your expectations are in the second half of the year?
Catherine Faiers: On market share and our relative position, I think we feel – I think we kind of agree with the sentiment that our market position from a consumer perspective certainly feels as strong as it’s ever been. And we haven’t seen any change in that position really over the last couple of years. If anything, it’s strengthened, as you said, during the course of the pandemic as we have been able to invest and continue to push on with our app organic and owned media investments while other competitors haven’t been in a position to. I think when we then think about how that translates through to used car transactions and what proportion we influence of the trade transaction that happens, so cars being sold by retailers or dealers. And we estimate very roughly that we see about 70% of the stock and the vehicles and influence probably a similar number as well.
Bridie Barrett: Thank you. And that’s gone up quite markedly, hasn’t it, since last year or so?
Jamie Warner: Well, to some degree, but I don’t think it’s significant. I think the transaction – the one thing that you would just be aware of is transaction volumes in terms of what’s reported, used car transactions and live stock on site, you have got the speed of sales in there. So, I think compared to last year, where you had speed of sale going very, very quickly because you had sort of pent-up demand and tight supply. We have seen a slight lengthening in terms of the speed of sale. Although I think it’s worth noting, it’s still actually marginally quicker than it was pre-pandemic. So, I think that’s the additional lens that has changed from last year to this year.
Bridie Barrett: Okay. Thank you.
Nathan Coe: And Bridie, to answer your question on promotions, I hope I have understood it probably right. During the course of the pandemic, we did probably the most extreme promotion that we have ever done where we gave away our core advertising packages for free. Outside of that, I would say that as a business, philosophically, we are not one to be a discounter or to go out with one-off promotions and do deals. I would say very much it get runs to the right to the core of our culture and the relationship we have with our customers that we are fair, transparent and everyone gets the same deal. The slight exception to that was we used to very regularly do stock offers, which most analysts are well aware of because it used to make understanding the live stock charts quite confusing. We have actually not been doing those since the pandemic and haven’t started back doing those and don’t necessarily have an intention of going back to doing those because there is just such a lack of stock at the moment. And dealer profitability is all quite stable. So, we don’t currently have any plans to look to reintroduce that. And that’s really the only exception to our kind of no discounting rules. And it does obviously apply to all customers.
Bridie Barrett: Thank you. It was those stock offers that I was referring to. And I suppose I was just thinking, if things get a bit tight, you could encourage more market share on to your platform by maybe bringing some of those back?
Nathan Coe: Yes. No, and that was definitely always interesting, it was always the theory behind them. But as you find with promotions, that can be true momentarily. Whether it persists beyond that is sometimes we are not always sure. Interestingly, in a period of having not done that, whilst our share increase is not significant, it certainly hasn’t gone down by not doing those, I would say, if anything, it’s slightly up. So, that has been a core insight for us, I think over the last 24 months.
Bridie Barrett: Thank you.
Nathan Coe: Thanks a lot.
Operator: We are now going to proceed with our next question. The questions come from the line of Pete-Veikko Kujala from Morgan Stanley. Please ask your question.
Pete-Veikko Kujala: Hey, it’s Pete from Morgan Stanley. Thanks for taking my questions. Two for me. So, first on the Autorama business and the kind of car market characteristics. So, if we assume that the supply of new cars is going to ease going forward, so the supply chain issues are going to ease or being removed, how does the increasing supply impact the Autorama business? And if that leads to a fall in prices, how does that impact the Autorama business? So, the increasing supply, but potentially falling prices? And then the second question. On the Auto Trader Connect, you mentioned that you now have 90 third-party integrations there. But what percentage of the dealer base does those 90 third-parties cover? And do you think it’s going to increase like the dealer stickiness, especially given we might be heading to a more difficult market for dealers? Thanks.
Jamie Warner: Yes. So, I can take the new car market. So – and this applies to vans and pickups as well. So, supply improves. It will be supportive to that business unit. I think the thing to bear in mind, I think we saw a little bit of this in October is some of the new car improvement or LTV improvement could just be filling in order bank that currently exists. But so you won’t need to clear through some of that. But generally, more volume is going to be supportive because there is a hierarchy in terms of how vehicles get allocated and more vehicles, the more that are likely to be allocated into the fleet sector. In terms of pricing, prices coming down again will help marginally because lower price is more attractive to consumers, but because every unit is sold on a PCH deal, so it’s all monthly payments. I would say the pricing probably has a – is positive, but it’s probably less – it’s not a positive driver of the volumes.
Catherine Faiers: On Auto Trader Connect and Retail Essentials and the valuations module, we talked about both. So, we have now – and now as Jamie said, integrated with over 90 third-party technology and dealer management system providers. That gets us to over 70% of the addressable stock for the Auto Trader Connect product. The Retail Essentials module we included in packages last year. So, it’s available to all retailers as part of their package. The great thing about the product is because it’s enabled through third-party integrators, it becomes completely embedded and integrated into retailer systems. So, with Retail Essentials, now they are using our underlying taxonomy to create their stock record and then to price that stock record from. That is now a big operational and process change that’s happened within retailers that those third-parties have enabled for us. And we have had universally very positive feedback from retailers about the cost saving, the time saving, pricing accuracy, the improvements to margin and yields from embracing that product. So, that feels very embedded and very sticky in that customer base and is now part of packages. So, there is no incentive or mechanic really for retailers to move away from it. Now, the tech integration work is done. We are at the beginning of doing the work for the valuations module. The fact that we have those 90 integrations already live, we hope we will make the valuation module more efficient to roll out because we have connectivity. We have some integrations already established with those third-parties. So, so far, the valuations module is going well and smoothly and will similarly be embedded and integrated. It will become the way retailers price through these third-party systems. So, again, very embedded, very sticky and very much part of retailers’ business processes in the future.
Pete-Veikko Kujala: Great. Thanks. That’s great color. Thank you.
Nathan Coe: Thank you, Pete. And operator, I am afraid we will have to make this the last question. We have just gone slightly over on time.
Operator: Okay. We have no further questions at this time. I will hand back to you then. Thank you.
Nathan Coe: That’s fantastic timing, almost as if it was planned. Well, thank you everyone for joining us on the call. We look forward to speaking to you in the future.